Operator: Good afternoon. This is the Chorus Call Conference operator. Welcome, and thank you for joining the Azimut Holding's Nine Months 2023 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Gabriele Blei, CEO of Azimut Holding. Please go ahead, sir. 
Gabriele Blei: Thank you very much, and good afternoon to everyone. As always, we will go through the presentation and leave as much time as possible for Q&A.  So we'll start from Page number 4, we have a snapshot of the key results up to the 9 months of 2023, €5 billion in net inflows, if we consider also the month of October, as you have seen a couple of days ago, we stand at €5.4 billion vis-a-vis the target that we have between €6 billion to €8 billion for the full year. Total revenues of €965 million. We will see this in more detail later, but we have observed a linear development, especially on the recurring fees component despite the market volatility. €431 million of EBIT ahead of the consensus that we have shared with you. And last but not least, €349 million of adjusted net profit, which as we have discussed in the first half results excludes the tax settlement that we have shared with you in April 2023 as well as the impact of IFRS 17. So we try to clean this up from the nonrecurring items.  Moving to Slide number 5. The usual snapshot of assets, clearly, diversification is delivering its benefit with all areas contributing to our flows despite the one-off effect that we have in Italy, which we will see in a minute. Slide number 6. As I was just mentioning, we have €43 million out of our Italian franchise. This, however, has to discount €925 million of outflows in the first 9 months, mainly from the institutional investors that we have mentioned several times in the past quarterly presentation as well as the prop divestment from our own investment in the first semester. This is clearly offset by flows from our financial advisers in Italy as well as other institutional and direct clients that have been able to offset this negative contribution.  Turning to EMEA. We have continued to see positive development out of Turkey with flows that account for slightly more than €800 million in the first 9 months. And Monaco that is benefiting from the recruitment of private bankers for almost €300 million, whereas we have a bit of outflows down there. As far as APAC is concerned, the bulk of the numbers are driven by Australia with €700 million, of which almost €200 million, €194 million that you see on the M&A column, is linked to the Australian business.  Turning to the Americas. We have a solid contribution from the U.S. of €3.4 billion, of which €1.3 billion has been the consolidation of Kennedy Capital, as you see in the M&A column. And clearly, Mexico is still benefiting from positive flows for slightly more than €400 million, whereas in Brazil, as we are able to discuss over the last calls, we recorded up to July negative flows, which are in the process of being partly offset since August with positive flows. So we have had 3 months of consecutive positive flows for roughly speaking €200 million cumulative between August and October.  Moving to Slide number 7, a snapshot of the revenues. I will focus my attention on the 9 months results. Alessandro later on will try to give you some detail on the quarterly trends. We have results of recurring revenues that are up 9% year-over-year to €856 million. So there is a positive development vis-a-vis 2022 of €74 million in terms of recurring revenues. We can split this into €23 million coming from the new perimeter, mainly linked to the Australian M&A transactions. We have then a new distribution fee that we mentioned in the past several times of €35 million positive. And then the international business that is contributing for €14 million positive. When it comes to private market, we have a contribution that is positive in the 9 months for almost €7 million, with revenues accounting for 11% now. This has been partly offset from the contractions in fees on third-party funds and insurance products as well as some switch from our usage funds into our private market products.  If we turn to our insurance revenue, €84 million, there is a positive development of €16 million compared to a year before, of which €3 million we can link this to recurring revenues whereas the rest, I would say, almost €11 million comes from performance fees.  Lastly, the big delta that you see on the performance fees is basically linked to the fact that in 2022, in the first quarter, we had the crystallization of the performance fees under the old methodology, whereas this year, we are giving back some performance fees to clients linked to the full crew mechanism, which is partly offset by performance fees from our foreign business for €8 million.  On the quarterly results, just to mention a few things. There is a linear development in the quarter of recurring revenues. And this is, however, despite very challenging markets in the quarter, which has slightly rose the margin, the average margin. Nothing that concerns us too much. It's the usual fluctuations in a very short period of observation that is a consequence of market and mix effect.  Moving to the cost side on Slide number 8. We have total cost in the 9 months for €534 million, up 8%. If we dig into the details as we have done for the revenues, as far as the distribution costs are concerned, they are increasing by 1% to €287 million in the 9 months. We have observed a flat environment when it comes to the distribution costs, whereby given what I was mentioning to you that the current revenues are basically flat in Italy. We are not observing any major swings down there. The bulk of the increase is explained by €4 million of higher severance payments to Italian financial advisers that is basically linked to the flattening of the yield curve.  Turning to the SG&A. We have €227 million as the 9 months 2023. So a progression of €41 million vis-a-vis the year before. This is explaining €20 million, so almost half of that by the new perimeter, which the bulk account is accounted for the Australian evolution of the perimeter. And the rest of the €41 million, so €21 million is explained by organic growth from our international business and of that €21 million, €17.5 million is explained by the international business evolution. However, €7.5 million of this €17.5 million is linked to FX movement from all the different countries in which we operate. So not really industrial cost increase from a year before.  In terms of D&A, this is what we have mentioned in the first half results presentation, there has been a release of provisions. I didn't spend too much time on mentioning anything else. If now turning to the Q3 numbers, where you see contraction in the distribution cost, there is a bit of seasonality clearly in Q3. But as we have mentioned before, flat rebate to the network in Italy, we have had lower overheads in the quarter as well as lower severance payments, which is contrary to the 9 months simply because there has been an uptick in the quarter of the yield curve and as we have commented in the past, this produced a contraction in the severance payments.  Moving to Slide number 9. This is the result at an EBIT level. We end up the 9 months 2023 with €431 million or, if you prefer, a margin of 45%, which is basically stable with a year ago, adjusted clearly by the deconsolidation of Sanctuary. And when we observe the net profit evolution as we were mentioning before, we have adjusted this to reflect the real profitability of the business, which stands at €349 million. That excludes the one-off tax impact and the IFRS 17. This translates into a margin of 55 basis points, which is clearly we're very pleased with that, especially taking into account the volatile market environment.  Moving to Slide 11. We just want to give you a quick update on our international business. We have had our 2-day convention with our international colleagues, more than 250 colleagues joined from our 18 offices around the world in Mexico. It was a very interesting 2-day event where we have been able to reiterate the target. So the €150 million annualized net profit target from the end of 2024 as well as the increase in profitability that has to be driven out of the key markets, Australia and the U.S., mainly as well as the focus on continuing with stronger integration between production and distribution, which is effectively what we have been doing in Italy for quite some time. We also presented some key initiatives, among others, we would like to mention some 3 private market products that will be distributed globally to our institutional investor base. One is effectively the application of the model of the GP staking that we have done with our prop money. Another product is the distribution of the automotive heritage fund, you have probably seen in the press as well as mentioned in our presentation in the past quarterly results. And the other fund is a fund that is called hybrid growth, which gives access to the U.S. venture capital inflow.  Turning to 2 slides, this one and the next one, we just wanted to give you a snapshot of why we are present in Australia and the underlying dynamics of those markets because we continue to see very interesting development even going forward. So in Australia, we have this superannuation scheme which is clearly quite large, AUD 3.5 trillion, and growing year after year. And given the way the scheme has been designed, it will continue to grow year after year. Our focus is on the affluent segment of the market, which is a segment that is growing and needs a drive. And when we see the dynamics of this industry, we see that there is a decrease in number of advisers in the industry. So there is a concentration of wealth for each adviser on the one side. And on the other side, clients are in need for more and more professional advisers. So effectively, some of our colleagues believe that there can be a higher profitability per client that we would be able to achieve over time in Australia given these trends that we're observing.  On a industry level, we see that there are many financial advice firms or accounting practices down there. that are still operating. And we are clearly one of the key market player capable of attracting practices and delivering growth and the clear benefits of managing a succession planning within the new practices. So we have all the premises to keep growing our asset base that today stands at AUD 12 billion, 164 financial advisers and 130 transactions completed since 2015, including consolidation among practices. So all this will lead us to being willing to remain present in this market as a key shareholder of our subsidiary. But at the same time, we are constantly assessing and evaluating exactly as we have done in Brazil or in the U.S. with Sanctuary, the potential of strategic partnerships that may lead to the opening up of the shareholders into a financial investor and potentially over time, an IPO.  Same thing goes for the U.S., where we have similar dynamics, an industry that is expected to grow significantly over the next 10 years and an industry that has seen already quite a big shakeup in the composition of the main players because as you can observe the independent financial adviser platform have increased to more than doubling the share of of the market. We have clearly even there a focus on the affluent investor base. And those clients are willing more and more to have a professional advice. Sanctuary is clearly an independent platform that is obviously capable, and still is doing the consolidation of financial advisers. And we aim with them to achieve further and further integration and scale to increase profitability. Today, Sanctuary is a platform that was founded in 2018. And today, it has almost $25 billion in assets, 80 partner firms and 300-plus advisers. And as we have mentioned for Australia, the same concept goes here in terms of actively managing our participation in Sanctuary.  Moving to Slide 14. The usual snapshot. As you can see, U.S. and Australia account for almost 2/3 of our AUM internationally. So the clear focus of what we just mentioned is justifying our actions. Slide 15. No big news here, if not that you're seeing the development of the asset base, which is 13x what we had at the beginning of 2020. And we are pleased with the fact that the private market evolution is not just an effect that we have in Italy and the U.S. given the strategy that we have deployed. But it is something also that we are starting to observe in other emerging markets in which we operate, being Brazil and Turkey, some of the places where we have production capabilities in this segment.  As far as the private market as of September, €7.7 billion, almost just slightly in excess of 13%. Nothing major has changed in terms of composition either geographically or by asset class and we keep going on with our strategy. Slide 17, the update on the GP staking as you probably have come across in the news. Kennedy Lewis has been able to close its third fund for €4.1 billion, it's their biggest fund despite the challenging period. They had to increase their target and increase the hard cap that they have faced. Since our entry, the company has grown 6x in terms of assets, and they continue to be extremely profitable and competent in managing this asset class.  On the other spectrum, HighPost on the product equity side, again, since our entry, the evolution of the AUM as well increased 6x and we have recently uplifted our stake in HighPost to 15%. We have the options to reach up to 25%. And we have welcomed Mark and David as not just partners, but shareholders calls in Azimut Holding.  Slide 18, an update on UniCredit as we are almost 1 year from the announcement back in December 2022. As we have mentioned back then, there was going to be a period in 2023 of licensing and the setup of the operations were almost done with all of that. The license has been granted on October 20, 2023. There are now the last round of comments on the prospectus for the first 12 months. We're almost done with that, and we expect to go ahead by the end of November. This clearly leads us to the ramp-up phase of supporting UniCredit in the preparation of the marketing materials in light of several planned internal initiatives that they have, and therefore, perfectly on time with our original schedule, we expect the green light in terms of asset gathering activity starting from Q1 2024. As a gentle reminder, this transaction should lead us to generate similar profitability levels to the one that we generate out of Italy.  Slide 19, no much difference here. We just probably are further increasing the fixed income exposure at the expense of cash given the higher yields that we can receive on this asset class. On Slide 20, there is kind of a different and new representation of the breakdown of the portfolio by geography and asset classes. You see how the 48% in equity has been split by geography as well as the 49% that you have seen in the previous slide between corporates and sovereigns, and I leave you to reading all these details.  Weighted average performance on the next slide, no much news despite the volatile market. We keep overperforming in over a medium term, the market. And we continue to approach active management of the portfolios.  I will turn now to Alessandro for a deep dive on the financials, and then I'll get it back later. 
Alessandro Zambotti: Thank you, Gabriele. We can move to Slide 23. As Gabriele stated at the beginning, we will focus on the quarter-on-quarter variation also following how we built the slide. So we specifically note additional comments on the 9 months 2023, there are 4. Back to the variation of the quarter, starting from the operating profit, as you can see, we have a variation of almost €10 million positive compared to the second quarter. This has been [indiscernible] thanks to an increase of €5 million in terms of total revenue. And on the other side, we had less operating cost of €4.4 million.  Starting from the revenue. The main variations are allocated from the insurance revenue with €3 million positive, thanks to an increase in terms of recurring revenue. So again, thanks to our growth in terms of assets under management and as well of €2.6 million generated from additional performance fees generated during the quarter. We have a positive increase in terms of other income, the recurring fees are almost flat or negative for €0.5 million. This is a combination of the 2 effects. On one side, the positive side is the continued increase from the international business. On the other side, we have a slightly negative effect in terms of market effect and those are the mix of our clients.  Last, for the revenues are the variable fees that are negative of almost €3 million. We are impacted negatively by the new mechanism of fulcrum, €4.7 million, but this has been netted by positive effect of the variable fees generated by our international business, in particular from Turkey and Brazil. At the level of operating cost, as I was saying, €4.4 million less compared to the second quarter. This is again a combination of 2 effects. On the distribution cost, we have almost €7.5 million less compared to the second quarter as we said at the beginning, explaining merely by lower overheads and severance payments, so lower compared to the previous quarter. And on the [indiscernible] course, we have €2.6 million more. This is mainly driven by an FX effect linked to an accounting principle 5 of hyperinflation, so following the AS 29 rules that we applied.  Moving to next slide. So moving to the below the operational profit, probably the main line that we should give you more details is the finance income. Also in this quarter, we have a positive effect of €14 million. This can be reconciled considering €2.2 million of positive effect on our fair value option mechanism, €5.6 million are generated by our alternative capital partners GP staking for the business that we have built in the U.S. and additional €7.5 million of realized and unrealized gain on our liquidity management that we actually manage also in Italy, but also from our international countries.  The non-operating income are back to, let's say, a normal contribution to the P&L. As you may remember, the second quarter was impacted by the write-off of the discontinuation of the new front-end program for our FAs in Italy. At the level of the basis points, I mean net profit margin in terms of basis points, we are 1 basis point more compared to the second quarter and significantly increased if we compare the 9 months 2023 with the 9 months 2022.  Moving to the net financial position. So Slide 25. We are positive, almost €360 million, I mean, more than €100 million compared to June '23. This variation can be explained taking consideration, so starting from the €250 million in June, we should add the net profit before tax for the quarter, so €156 million and taking negatively the effect of the tax advance for €25 million and additional €15 million in terms of M&A activities, we are almost there in terms of reconciliation and the numbers that we have disclosed also. We put the [global Fx], I mean, following the 9 months in terms of M&A, dividends and taxes as a reminder of our main use of cash during the 9 months.  I'm going to leave back to Gabriele for the conclusion. 
Gabriele Blei: Thank you, Alessandro, for the jobs. And last slide very quickly on Slide 27. There is just a reiteration of the targets, as you can see, nothing has been changed. And as we had the chance to mention on several occasions, we are all very much focused every time on working and doing everything we can to deliver the targets that have been announced, and we speak to those targets. Thank you very much. 
Operator: Gabriele sir, are you ready for questions? 
Gabriele Blei: Yes, we are. 
Operator: All right. Thank you. This is the Chorus Call Conference operator, we will now begin the question-and-answer session. [Operator Instructions] The first question is from Hubert Lam with Bank of America. 
Hubert Lam : Just got a couple of clarification questions and another question. Firstly, I think you mentioned a few times already on the commission expenses for the quarter, €91 million. It was a bit lower than expected. I know you mentioned lower overheads and severance payments. But the same time, it feels like it's still a bit lower than expected. Just wondering how much seasonality is in this number? And how should we think about this number going forward to have it creeping up closer to that to Q2's number of like €100 million? That's the first question.  The second question, a clarification also on the fees. So you have recurring fees that were flat quarter-on-quarter, but at the same time, your average AUM did go up. I think you mentioned that the fee margin is volatile, but I was just wondering what's contributed to the quarter? And how should we think about it either this quarter and also going forward?  And lastly, I guess, on the flows, you had another month in October where you had continued institutional outflows coming from Italy. I know they are driven by low margins in money market funds, but it's continued on. Just wondering how much of this is left to go? And anything to say about it? 
Gabriele Blei: So starting from the first one question on cost, sorry. As you know, there is a bit of seasonality in Q3. However, as far as the evolution of the distribution cost, so the rebate to the network out of the management fees that are charged to the clients, there is a perfect relationship. And as we have had the chance to discuss the 40% is what FAs receive and this is exactly what we are seeing on Q3. So there has not been any change there. It's really been a consequence of lower overheads across the board that has resulted in some savings that, as you may recall, we mentioned this during the first part of the year that we were taking some actions on the network to generate some savings. As far as the guidance on this line, I would say that not knowing where the market will end up between now and the end of the year, I would assume that the average of the first 3 quarters is a good indication of where we can end up and therefore, the increased Q4 distribution costs.  As far as the current fees, once again, markets have been quite hectic during July, August, September. So we have seen what in several occasions, we refer the short-term margin variation given to potentially lower risk appetite, a more conservative stance, less activity from signs and so on. So clearly, we have average assets going up, but the bulk of the average assets going up, I would say, is ex-Italy. And therefore, there is not such a direct impact on our management fees out of our Luxembourg funds. Guidance, I would expect, I'm sorry, before I forget, so we had the clarification. There has been a drop of roughly speaking, 5 basis points in our average margin in Q3. So something that we have observed already in the past that has been reabsorbed later on. So nothing to be concerned about.  As far as the expectation for Q4, we might see a continuation of this environment and therefore, an ongoing linear development in our management fees and the current fees in total is what we would be expecting. We haven't seen further major shifts up or down in the first month of October, November has been roughly stable so far. So we would be expecting the same trend to continue.  On the institutional flows, this is a very interesting topic because after all, if this institution would have told us, we're taking away x amount of money, and we'll do this in 1 month. This would have probably made us a bit angry, and we would have had to explain this, but we would have had closed this discussion and didn't have to keep on repeating ourselves. They didn't do that. They decided to take out gradually every single month since the first quarter, a specific amount, which is constant month after month. And therefore, this is dragging on. They're almost done unless they go negative, but there has not been, this is not on the table. And therefore, we expect them to complete their actions between year-end. Funny enough, in the month of October, we also had another institutional investor of [indiscernible] but that communicated to us that they were rebalancing their positions given that they were in positive performance with our discretionary accounts. But it is what it is, we cannot complain, sometimes the institutional base suffers this environment, whereas in good years, they can contribute significantly to our yearly target. 
Operator: The next question is from Elena Perini with Intesa Sanpaolo. 
Elena Perini : Yes. Thank you very much for taking my questions. Can you hear me? 
Gabriele Blei: Perfectly. 
Elena Perini : Okay. Perfect. I have got some questions about your Australian business. If I understood correctly, you mentioned the possibility of having a financial partner entering in your business. And then the fact that you could also go for an IPO. I don't know exactly because my line was a bit disturbed at the moment. So if you can elaborate a bit more on this. And on Australia, I've got another question about your press release on net inflows. 2 days ago, you were mentioning in other transactions. So I was wondering about the amount of assets that acquisition carried on.  And then I was looking at your net financial position on Slide 25, basically, it seems that all the net profit that you generated in the period went to increase the net financial position because there was a strong improvement since June. So just a few words on it.  And finally, you were mentioning on Slide 24, a write-off charge of €9 million related to the discontinuation of the new front-end program for FAs in Italy. So if you can explain a bit because I cannot remember exactly what that referred to. 
Gabriele Blei: So actually, starting from the write-off charge, as we have explained in the first half results, we were in the process of investing and changing the front-end system that the Italian network employs. We had several checkpoints before starting the rollout on a selected number of advisers. And we have observed quite a significant gap between the objectives that we were aiming to achieve with this new front-end system and what the platform was actually capable of delivering to us. So instead of continuing to invest and spend time and money, which we believe is not the right use of our resources, we decided to stop the project altogether and focus on other alternatives that we are considering. So this is what explains the write-off.  On the net financial position, the reconciliation that you can have besides the general comment that it is correct, this business has a very high cash conversion. So thank God is reconfirmed every quarter. But if we start from the €255 million of net financial position, you add up the net profit before tax of €156 million, you strip out tax advances for €25 million and €15 million of M&A, you get to essentially what is the change from June to September in terms of increase of the net financial position. I think I wouldn't add anything else, but if you have further clarification, we're happy to take them.  As far as Australia is concerned, we are mentioning to you this because we believe that we have done a decent job. This job has been recognized by a number of recognition from our colleagues down there and mentors that these are the key assets of what we do. On top of that, we have been receiving every now and then request to sit around the table and discuss. There is nothing material and concrete. But it was worth mentioning that the international business is something in which we see a lot of value. We have invested a lot of time and resources. And at some point, all these efforts will be recognized not just by us, but market value that would lead to potential evolution of either the shareholding or the strategy and the business evolution of our local businesses. It was pretty large for us, is a significant segment of our international exposure. And we think we want to continue to remain invested there. But eventually, if we can accelerate similarly to what has been done in Brazil despite being unfortunate that this was not driven by the JV [indiscernible] but by market environment that has been turning against us. We think we can continue to evolve our local business down there. 
Elena Perini : Okay. And what about the last transaction that you mentioned today regarding the net inflows press release? 
Gabriele Blei: Sorry, I just forgot this one. It was for around €400 million in assets under management linked to the latest transaction, which is accounted in the assets under administration just to be precise. 
Operator: The next question is from Luigi De Bellis with Equita. 
Luigi De Bellis : The first one is on Italy flows. So can you provide your view on the private marketing for the expectation for Q4 and early 2024, so based on your visibility on this?  The second question on the international business, Australia, in particular. So can you give us more color on the perimeter of Australia in terms of EBITDA and net income?  The third question on the capital allocation strategy. So you have €350 million roughly of net cash. So can you elaborate on your priority in terms of dividend buyback and/or debt repayment?  And the last question on the tax rate for 2024 because of the global minimum tax will start from 2024. So do you expect any impact for Azimut for 2024 from this and new regulation? 
Gabriele Blei: So starting from the tax, just I was just asking Alessandro, but he can jump in the conversation. I think the discussion at country level is that this is going to start from 2025, probably not 2024, but there are many moving parts, and we are, as you are probably observing the unfolding of a clear decision about that from a number of different countries. As far as ourselves, we stick to what we told you a year ago, which is a guidance that we had to increase from the 15% that was historically set at the time of the IPO in 2004, to the new guidance, which stands at 22% from this year onwards, so that we take into account the fact that the world has decided to introduce a minimum tax of 15%.  Moving backwards on your other questions, distribution policy and the priority of the use of cash, once again, I'm sorry to be repetitive, but we have taken a commitment. The commitment has been to, A, repay the debt. This expires in December 2024. So we have €500 million to repay. B, we have taken a commitment to distribute between 50% to 70% of the recurrent net earnings, and this is what we stick to. And 3, we have the optionality to perform any buyback at any point in time given the approval we have received from the AGM. These are the 3 important aspects to bear in mind when we consider the use of cash that we are generating.  On top of all that, there is our willingness to continue to invest in the business, which also can come through any M&A transaction that we can finance with our internal cash generation. or of a material size despite other options.  On the Australian business, the business is profitable, is growing significantly in terms of fees that we generate. We are still reinvesting significantly and therefore, M&A transactions are to some extent impact in the short-term profitability. So if we were to stop this, the profit would increase over time. Having said that, as we have tried to explain through that the slide we showed you, there is still a significant opportunity to grow the business from where we stand into something that is much larger nationwide and of a very attractive level. The reality is that today, we are completing transactions that are of a significant higher size than the ones we were doing in the very first years because the platform is more attractive because we are a credible player because the management team down there has done a fantastic job. So probably all these things are attracting interest. And eventually, we can discuss potential evolution over time together with you.  Private markets, we are in the process of laying out the product pipeline for 2024. Clearly, this has to take into account the general environment, which sees softer flows in the last couple of quarters. More conservative stance from clients also due to the fact that Italians despite having a significant share of the Italian government bonds, will still like this asset class without diversifying and benefiting from asset classes that can deliver higher returns over time. So we will take all these concepts into account and when we will be formulating the net profit but better the net inflow target for 2024, we will certainly communicate to you what is our expectations in terms of private market offering. So far this year, we have collected initially almost €1 billion of net new money into private markets, and the rest coming from the U.S. 
Operator: The next question is from Alberto Villa with Intermonte. 
Alberto Villa : Some questions from my side as well. I was wondering, well, looking at the opportunities to grow the inflows going forward, you now sit on more than €27 billion of assets under custody. I was wondering if you are working actively trying to, let's say, increase the profitability of these assets under custody. And I was wondering if you can give us an idea what is the different profitability you're getting on these assets in the different geographies?  The second question is on the UniCredit. I appreciate your respecting the time line to start the operations. I was wondering if you're starting already to, let's say, interact with the bank, the distribution, et cetera, to prepare the network for the product? Or you are expecting to do that in early 2024?  And another question is on a clarification on the guidance of €500 million for 2024. You also indicated this target of €150 million coming from the international business. I was trying to understand and figure out the 2 numbers are interacting. So if it means that €350 million is without the international. And so the international basically is net of minorities and of any other things that we might consider when we bake in this number into the net profit guidance for the Group?  Finally, another question on the cost inflation you are expecting for 2024 on an organic basis. 
Gabriele Blei: So starting from the assets under administration. Yes, correct. The number is €27 billion. However, I would like to specify that the bulk of these assets belong to the business in the U.S., Sanctuary as well as our Australian business Azimut NGA. So these are in assets under administration because the bulk of these assets are not in in-house products. So the correct allocation is there. As far as Italy is concerned, the level of assets under administration has not grown dramatically. So it's pretty much constant. As you can recall, we use assets under administration especially when we recruit financial advisers, they bring the assets and then they reconvert those assets for the portion that they can into our own funds. So I would say it's not such a big issue for us as for others, although there has been moments and there might be moments also in the future in which the level of assets under administration of our Italian network has increased, and the increase has then been converted over time into managed products, but we haven't seen a dramatic movement there.  As far as the UniCredit is concerned, we are at their side, supporting them for whatever they need in terms of marketing material, in terms of explanation of the 12 products that will start to be distributed through their network, but they are in full control of their distribution network. They are in full control of the activities that they want to deploy, and we stand next to them for whatever they might need from us. We are just the product platform.  The question on the €150 million, how does it reconcile with the €500 million? As it is mentioned, I think in the slide, the €150 million is based on the annualized net profit from our international business starting from the last month of 2024. So you shouldn't be extrapolating the €150 million from the €500 million, but we expect that the run rate from, say, December 2024 onwards would lead us to achieve €150 million of net profit from our international operations.  And on the cost side, the cost expectations for 2024, I would leave that to, let's before close 2023, and we will formulate all the guidance as usual in January when it comes to expectations for next year. But I would say that the big driver still remains the attainment of the €500 million of net profit, which would mean an increase on average of €50 million per year since 2019. 
Operator: Next question is from Filippo Prini with Kepler Cheuvreux. 
Filippo Prini : Two questions, one UniCredit, one your financial position. On UniCredit, you still guide a communication of 50 bps of margin when you ramp. When we clearly presented its Q2 results, you mentioned the ambition to increase their payout from 70% to more than 80%. Taking these assumptions on UniCredit, is it fair that we have this margin, the funds under asset management should there that people the clients in the region offer 2.5% to 3%. And still a follow-up on UniCredit. From next year, will you disclose on a monthly basis, the inflows coming from the network of UniCredit or not?  And the question on your net financial position instead on basically the return on your cash. From the €40 million of interest income in the third quarter taking out the the contribution from GP staking [indiscernible] fair value option, we lend to around €5 million, €6 million. This is to be the return you should get every quarter from your cash from investment with this level of rates. 
Gabriele Blei: Okay. So on the UniCredit transaction, we stick to the 50 basis points on average as net profit margin for Azimut because this is consistent with what UniCredit has communicated to the market in terms of rebate that they would receive for their distribution efforts. So we probably have an advantage here because we have built the transaction a year ago with this assumption being very clear in our mind and in their minds and in their request. And therefore, there is no swings or change that we will face. Clearly, given that we will be launching 12 products, the allocation among products will or may shift up and down the average margin that we will actually be able to receive. But again, this does not depend on us. It depends on their distribution capabilities. it apparently depends on their asset allocation, and we cannot drive this, if not recommending what is in our view the correct asset allocation and exposure to different asset classes vis-a-vis clients.  As far as the next year net inflows, let me say that this is something that we are still discussing with UniCredit. We have some few months before, eventually, we had to start disclosing something. But given the importance for both parties, in being able to disclose numbers. We will make sure that any representation is as fair as possible and as frequent as possible. Clearly, you have to put ourselves and yourselves into their shoes. They have ongoing negotiations with several counterparties. So we do not want to push them to do something that creates problems.  Net financial position, the return on our cash. Yes, I think Alessandro mentioned before, in the quarter, we have achieved €3 million of net interest from the cash, as the market conditions change, this may change. So potentially, I wouldn't take a strong view on repeating this every single quarter or even higher than this level. But it very much depends on whatever market conditions we are able to find and negotiate with financial institutions where our cash is sitting. 
Operator: The next question is from Carlo Tommaselli with Societe Generale. 
Carlo Tommaselli : I have 2, please. The first one is on ESG AUM amount. If you could share with us the latest number. And in terms of Article 8 and Article 9, if any?  The second one, again, on UniCredit. The [novel] JV, are you able at this point to share a sense of where you could land in terms of AUM at 2024, please, under normal market conditions? 
Gabriele Blei: We have been just recovering the ESG data. So Article 9, we don't have any funds that are Article 9, okay? So this is something that respond to the first question. And the Article 8, the last number I remember was in the region of 53% of our Luxembourg funds, which means basically €12.5 billion.  Yes, UniCredit. I'm really sorry not to be able to provide you with a clear answer here. But as you can imagine, we are very pleased that finally we are discussing about product, commercial activities with them. But unfortunately, we don't control their distribution effort. We can only make sure that they have everything they need in order to start the commercial activities and the training and education of their network around the product and how we envisage the use of the product in an asset allocation concept. It is very, very hard for us at this time to give you a bold number on 2024 guidance, although we have let's call it, medium nonofficial targets that we have discussed with them, which is a quite interesting number. But again, let's start the marketing that starts to see the first numbers and then we will be pleased to discuss with you if all the assumptions we have been envisaging when building this agreement are materializing in line or above or below expectations. 
Operator: [Operator Instructions] Gentlemen and Mr. Blei, there are no more questions registered at this time. I'll turn the conference back to you for the closing remarks. 
Gabriele Blei: Well, thank you very much, Alessandro and I thank you for your attention and questions, and we're happy to take any further follow-ups offline. Have a very pleasant day, afternoon or evening. Bye, bye.